Operator: Thank you for standing by ladies and gentlemen and welcome to the Euroseas Conference Call on the Third Quarter 2019 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Anastasios Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode.  There will be a presentation followed by a question-and-answer session [Operator Instructions] I must advise you that this conference is being recorded today. And please be reminded that the company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the Federal Securities laws. Matters discussed may be forward-looking statements which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized.  I kindly draw your attention to slide and two of the webcast presentation, which has the full forward-looking statement and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. I would now like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Anastasios Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three months period ended September 30, 2019. As a reminder, I would like to mention that on May 30, 2018, the company spun-off its drybulk fleet, into EuroDry, a separate publicly listed company also listed on the NASDAQ Capital Markets. Shareholders of Euroseas received one EuroDry share for every five shares of Euroseas they held. As a result of the spin-off Euroseas has become a pure containership company and the only publicly listed company concentrating on the feeder intermediate containership sector. The results below refer to Euroseas Ltd. continuing operations, excluding the contribution of vessels spun-off into EuroDry Ltd., in May 2018. The historical comparative periods have been adjusted accordingly. Now please turn to slide three to see our income statement highlights. For the third quarter of 2019 total net revenues were $10.3 million. Net loss was $0.2 million, adjusted net loss attributable to common shareholders was $0.5 million or $0.02 loss per share basic and diluted after a $0.2 million dividend on Series B Preferred Shares and a $0.1 million paper loss due to the below market charters of the four vessels acquired during the quarter. Adjusted EBITDA was $1.6 million.  Please turn to slide four, for our chartering and operational highlights. The highlight of the quarter was the delivery of the previously announced four vessels agreed to be acquired in Q4. Specifically, we took delivery between the 2nd and 7th of August of the following ships. And I note here that there is a small [add] up in representation noting all ships has been of the same size.  The four ships EM Spetses 1,740 teu feeder vessels built in 2007. The EM Hydra 1,740 teu vessels built in 2005. The EM KEA which is the 3,100 teu feeder vessels built 2007 and Diamantis 2,000 teu feeder vessel built 1998. All vessels came with charters attached at a rate between $7,000 and $9,500 per day for periods between six and seven months. During the quarter, we chartered another six of our vessels at levels roughly similar to the expiring charters except for the M/V Akinada, which was chartered at $16,500 a day more than doubled the previous charters. You can see the details of the individual rates in slide four.  On drydockings, only Akinada Bridge was seven days in drydock in the third quarter due to some unexpected technical issues is now expected to complete special survey towards the end of November.  Please turn to slide five, where we describe our Q4 transformative transaction, whereby we completed the acquisition and took delivery of four Panamax intermediate size vessels between 18 and 21 of November. The vessels are all 4253 teu built in South Korea, one in 2008, and three in 2009. They all came in charters at past at levels ranging between $9,000 and $13,500 per day for periods between 5 to 12 months, plus some options. The ships were acquired from Synergy Holdings Limited for $40 million plus an additional $0.5 million in shares in a year if the market is then stronger than current levels. The acquisition was financed via debt existing funds, and $6 million of the private equity placements of common stock at $0.71 per share, subscribed equally by the seller of the vessels and an affiliate of my family. In total about 8.45 million shares issued, reaching representing about 19% of the company shares post-acquisition. In connection with the purchase of the ships we also acquired certain management services from Synergy Marine Limited for the next three years and Mr. Andreas Papathomas, Chairman of Synergy Holdings Limited joined the company's Board of Directors. The acquisition of a younger fleet reduces the overall average age by almost two years and increases our fleet size by more than 25% in terms of number of vessels, and about 50% in terms of carrying capacity. The Q3 and Q4 acquisitions reinforce our position as rapidly growing publicly listed containership feeder and intermediate company. We represent another step in our use of a public platform to consolidate other fleet.  On slide six you can see our new current fleet profile after the latest additions. We will now have 19 vessels which includes 14 feature containerships and 5 intermediates container carrier with 660,000 dead weight tonnes and 51,000 teu capacity. As average weighted average age by teu of 15.8 years. Please turn to slide seven, over the last five years our operational and fleet utilization has been in excess of 97.6%. Euroseas has an outstanding safety and environmental record, but at the same time the company is managing to keep costs low despite running fleets from the other company. For the third quarter of 2019 operational fleet utilization was 99.9% compared with 90.6% the same period last year.  Commercial fleet utilization rate in the third quarter of 2019 was 100% compared to 97.9% the same period last year. The graph on the page compares daily costs excluding drydocking since 2011 with our peers. Overall, our cost remained among the lowest of the public shipping companies. Let's move to slide eight to view our vessel employment chart, based on midpoints durations as of December 1, 2019 we have about 100% coverage for the remaining of 2019 and 30% coverage in 2020. Clearly market development within 2020 will have a big influence on our 2020 results and we are looking forward to an improvement in the U.S.-China trade war resulting in a stronger market.  Please turn to slide nine for containership market highlights for the third quarter. Time charter rates in the third quarter for feeder and intermediate size vessels ranging from 1,000 to 5,600 teu rose about 2% to 7% on average with a bigger rises in the above 4,000 teu ships.  The 1,700 teu geared rates rose from an average of $8,153 in the second quarter to $8,795 in the third quarter and currently stands at around $8,700 per day. The 2,500 teu geared rate rose from an average of $9,234 in the second quarter to $9,432 in the third quarter and currently stands at $10,200. Average secondhand prices for older than 20-year old vessels remained around their scrap prices in the third quarter. However, for younger vessels of about 10 years old there was a rise by circa 5%.  Is somebody making some noises? Thank you. Anyway, I hear some noise, I hope it is not interfering with the call. Newbuilding prices, China built Tier 2 no scrubber remained stable at around $23.5 million and $29 million for the 1700 and 2500 teu vessels, respectively. Idle fleet was about 1 million teu as of November 11, i.e. 4.5% of the fleet. This includes idle due to scrubber retrofitting, mostly larger vessels of about 450,000 teu total -- sorry 620,000 teu total. Scrapping remained at the same levels as in the second quarter relatively low for the current market. The fleet grew by 3.6% year-to-date without accounting for idle vessels reactivation, idling, et cetera. Please turn to Slide 10. The IMF projected world GDP growth in 2019 is revised downwards from 3.2% in the previous quarter to 3%, with reduction stemming from all large economies. No significant reduction in projected growth was in India, which was reduced this quarter from 7% to 6.1%. For 2020, global GDP growth rebounds to 3.4% as per the IMF, which is however lower than the expectation with previous quarter by 0.1%. In 2020, the U.S., Japan and China are expected to decline slightly relative to 2019 growth expectations. The other major economies are expected to improve slightly. In terms of demand for containerized trade demand measured in teu per mile is expected by Clarkson to grow slightly lower compared to world GDP growth at 2.9% in 2019 and 3.3% in 2020. These figures are slightly lower than the expectations three months ago. Please turn to slide 11 to review the containership age profile and orderbook delivery schedule. As you can see on the containership age profile chart on the left side of the slide, which shows the young fleet with a mere 6% of ships being over 20 years old. On the right side, the chart shows the delivery schedule of the current containership orderbook, which is expressed as a percentage of the fleet. The deliveries are expected to be around 5.6% of the fleet in 2019, 5.4% in 2020 and 2.9% in 2021. I note that for the years prior to 2019, scrapping and other additions and removals were taken into account when calculating the fleet percentage changes. While for 2019 onwards these activities are not included in the calculation. Please turn to slide 22. To view the 1,000 to 3,000 teu fleet age profile and orderbook delivery schedule, which is the main segment we are focusing on. 17% of the 1,000 to 3,000 teu fleet is over aged. The delivery schedule of the orderbook in 2019 is estimated to be 5.6% of the fleet growing to 7% in 2020 and dropping to 2.9% in 2021. Fleet growth of feeder fleet is expected to be around 3.5% to 4% in 2019, taking scrapping trends into account. Let's turn to slide 13 for a outlook and more. 2019 has shown a modest increase in charter rates without the expectations for significant changes in the remaining of the year. Our supply demand analysis, which is based on Clarkson’s expectations for container trade growth suggests a balanced market for 2020, firming up again in 2021. The fundamentals for the sub 5,000 teu vessels which seemed much better than for the larger vessels have deteriorated a bit over the past month as the orderbook has increased again following the recent feeder ordering.  However, demand prospects for feeder size vessels remains positive despite slow 2019, as most of the demand growth in these sizes comes from intra-Asia trade where robust growth is expected to continue in the years to come. Environmental regulations coming into effect in 2020 create additional uncertainty as a probable increase in low sulfur fuel prices could or may result in further slow steaming, which, in turn, could help strengthen the market. The outcome of the U.S. China and EU trade talks will of course also influence the development of the world trade and the balance of the market. In our base case, we expect a continuation of the current uncertain situation, which would translate to a market not far different to that of 2019. Let's turn to slide 14, the left side of the slide shows the evolution of the one year time charter rates for containers of 1700 since 2000. Container rates from vessels of our size recovered strongly from their all-time laws and came close to the historical level in the summer of 2018 prior to shortening again a bit during second half of last year, but recovering again this year. The right hand side of the slide show steadier old vessel values in relation to historical prices since 2000. As you can see containership values are still below the median historical values. Therefore in our view more than a -- more buying opportunity that a selling one.  And with that, I will now pass the floor to our CFO, Anastasios Aslidis to go over our financial highlights in more details.
Anastasios Aslidis : Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. I will take the next four slides to give you an overview of our financial results for the three and nine months period ended September 30, 2019. The figures that we review refer to the continuing operations of Euroseas, that is we stripped out from the comparative periods of 2018, the contribution of vessels that were spun-off in May 2019 in EuroDry. Let's look at slide 16. For the third quarter of 2019, we reported total net revenues of $10.3 million, representing 23% increase over total net revenues of $8.3 million during the third quarter of last year. We reported net loss for the period of $0.2 million and a net loss attributable to common shareholders of $0.3 million as compared to a net loss of $0.9 million, a net loss attributable to common shareholders of $1.1 million for the third quarter of 2018. The results for the third quarter of 2019 include $0.2 million amortization of below market time charter supplies. Adjusted EBITDA for the third quarter of this year was $1.6 million, compared to $0.6 million during the third quarter of 2018. Basic and diluted loss per share attributable to common shareholders for the third quarter 2019 was $0.01 calculated on 26.7 approximately million shares basic and diluted compared to basic and diluted loss per share of $0.10 for the third quarter of 2018. Excluding the effect on the loss attributable to common shareholders of the amortization of below market time charter supply and the unrealized gain on derivatives, the adjusted loss attributable to common shareholders for the quarter ended September 30 2019, which have been $0.02 per share basic and diluted compared to $0.10 per share loss basic and diluted for the same quarter of last year. Let's not look to the nine months period. For the first nine months of 2019, we reported total net revenues of $26.7 million, representing a 1% increase over total net revenues of $26.4 million during the same period the first nine months of 2018. We reported net loss for the period of $0.9 million and a net loss attributable to common shareholders of $2.5 million, as compared to $0.1 million and $1.2 million lost respectively for the same period of 2018. Again, the results for the nine month period of 2019 includes a $0.2 million amortization of below market time charter supply. Adjusted EBITDA for the first nine months of 2019 was $4.1 million as compared to $3.1 million during the same period of last year. Basic and diluted loss per share attributable to common shareholders for the first nine months of 2019 was $0.15 calculated on approximately 17 million shares basic diluted compared to a loss of $0.11 per share for the same period of 2018. Again, excluding the effect on the loss attributable to common shareholders for the period of the amortization of below market time charter supply and the unrealized gain on derivative the adjusted loss attributable to common shareholders for the nine month period ended September 30, 2019, which have been $0.16 per share, as compared to $0.24 per share for the same period of 2018, a number which also excludes the gain from the sale of a vessel during that period.  Let's now turn to slide 17. To review our fleet performance for the third quarter and nine months of 2019 and compared to the same period of last year. Let's start by reviewing our fleet utilization rates. As usual, we have broken down the utilization rate in commercial and operational. You can see on the left side of the slide for the third quarter of 2019 we reported 100% commercial utilization rate, 99.9% operational utilization rate, compared to a 97.9% commercial and 90.6% operational utilization rate for the same period the third quarter of 2018. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydocks, schedule repairs or special surveys if any accrued during the reporting period. In the third quarter of this year, we operated 13.5 vessels, with the time charter equivalent rate of $8,554 per vessel per day, compared to a time charter equivalent rate of $9,704 per vessel per day during the same period of 2018, a period during which we operated 11 vessels. Total operating expenses, including management fees and general and administrative expenses, but excluding drydocking costs were $6,388 per vessel per day for the third quarter of this year, compared to $5,993 per vessel per day for the same quarter of 2018. As Aristides mentioned earlier, overall, we believe we maintain one of the lowest operating cost structures among our public peers. And we think that this is one of our competitive advantages in the business. Let's now look at the bottom of the table to our daily cash flow breakeven level presented here on a per day basis. For the third quarter of 2019, we reported an operating cash flow breakeven level including loan repayments, but before any balloon payments of $8,400 per vessel per day, as compared to $8,727 per vessel per day for the third quarter of last year. Now let's look at the right two columns of the slide to review our operating results for the nine month period ended September 30, 2019 and compare them again with the same nine months period of 2018. For this year, we reported a 98.8% commercial utilization rate and 100% operational utilization rate compared to a 98.5% commercial and 94.8% operational utilization rates for the first nine months of 2019. Again, please note that our utilization rate does not include vessels in scheduled drydock, scheduled repairs, during those periods. During the first nine months of this year, we operated 11.83 vessels, the time charter equivalent rate of $8,638 per vessel per day, compared to a time charter equivalent rate of $9,371 per vessels per day during the same period the first nine months of 2018, a period during which we operated 11.64 vessels. Total operating expenses, including management fees and G&A expenses, but again, excluding drydocking costs were $6,348 per vessel per day for the first nine months of this year, compared to $6,368 per vessel per day for the same period of 2018. Let's now look again at the bottom of the table to our daily cash flow breakeven level, which ended up again on a per vessel per day basis. For the first nine months of 2019 we reported an operating cash flow breakeven level, again including loan repayments but not balloon repayments of $8,771 per vessel per day, as compared to $8,666 per vessel per day for the third quarter of 2018 -- for the nine months of 2018. Let's now move to slide 18. This slide shows on the right hand side our cash flow breakeven expectation for the next 12 months and from the left side we show our schedule debt repayments over the next several years. There are two sets of bars in that chart, the blue set of bars or the left ones show our profile as of September 30, 2019, while the green the right bars show the debt profile pro forma the additional debt we drew earlier this month to partly finance the acquisition of the four synergy vessels that Aristides mentioned earlier. As you can see from the chart on the left, we don't have any balloon payments this year or next year. Our next balloon payment is not before 2021 when we will repay $19.2 million balloon for a loan that covers nine vessels. Also in 2022 there's $1.7 million balloon payment for one of our vessels. All of these balloons amount well below the scrap value of the vessels. And we expect not to have any problems with refinancing as it has happened in the past.  In 2023 there are three balloon payments expected for several of our vessels totaling almost $30 million to $9.6 million. This includes a balloon of $17 million for the four newly acquired synergy vessels. Express in dollars per vessel per day our loan repayments over the next 12 months amount to $2,050 contribution to our cash flow breakeven level. Looking now at the right part of the slide and the table there and making assumptions for the remaining components of our cash flow breakeven that is operating expenses, G&A expenses, interest, drydock and the cash portion of our preferred dividend. We come up with another all cash flow breakeven level for the next 12 months of $9,850 per vessel per day. We estimate that for every thousand dollars per day earning -- other earnings increase over and above our cash flow breakeven level, we will generate approximately $6.5 million of excess cash flow per year. Let's now turn to slide 19. This slide provides us some highlights from our balance sheet. In fact, we have attempted here to provide you with an estimate of our balance sheet pro forma for the acquisition of four synergy vessels that took place earlier this month. After the acquisition, we estimate to have approximately $10 million cash and other current assets and the book value of our vessels of our fleet to be around $114 million, which we estimated to be roughly 10% lower than the market value of our now expanded fleet. Thus the book value of our assets on a pro forma basis should be approximately $124.5 million to $125 million. After drawing the loan to finance the acquisition of the Synergy vessels we will have our spending budget and other debt of about $87 million, which represents about 70% of the book value of our assets and of course a smaller percentage of their market value. Our remaining outstanding preferred equity is $8 million and represents about 6% to 7% of our total book assets and other liabilities are about $9.5 million and that will also represent another approximately 8% of our pro forma book assets. Based on the above and using the market value of our vessels, we estimated that net asset value of Euroseas to be about $32 million to $33 million or approximately $0.75 per share. I would like to point out that over the last three weeks our share price have been trading just below $0.50, a level that compared to the NAV per share represent a significant discount to the value of the company. And with that, I would like to turn the floor back to Aristides. 
Aristides Pittas : Thank you, Anastasios. I would like to now open up the floor for any questions that anybody may have.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tate Sullivan from Maxim Group. Please go ahead.
Tate Sullivan : Hello, good morning. Thank you, Tate Sullivan from Maxim. Can you -- thank you for the comments about amortization of below market value time charters. Just real quick is that within operating expenses in the income statement or where is that? And does that -- is that in your forecast for OpEx of about $5,800 per day?
Anastasios Aslidis : The revenues includes a higher number of income because of the adjustment that we do for the below market value of time charters and that is reported on the net income line. When we do the adjusted net income, we subtract the corresponding amount that was added on the top line.
Tate Sullivan : Okay. And the $5,800 OpEx per day, are there costs at the beginning of acquiring ships that you may be able to decrease or what are their upfront costs after an acquisition, please?
Anastasios Aslidis : The operating costs are dependent only on the vessels -- on the specific vessel they will not change because of the size of the fleet. The G&A expenses would likely decrease because they're going to be divided by a larger number of ships.
Aristides Pittas: But usually when we buy dates [ph] when we buy a ship, usually we incur a little bit slightly operating expenses than what we incur after some period of time. In the later acquisition that we did, I feel that this will not be the case because the ships were very well maintained. So I don't think that neither for the four panamaxes that we recently bought nor from the four vessels we previously bought because we have running them ourselves you will see any difference in OpEx. OpEx increases 2% to 3% historically every year because of inflation or things like that.
Tate Sullivan : Okay, thank you, and last for me. With a full year of operating your acquired vessels after last week's deal, do you target specific leverage ratios or how are you looking at that please?
Aristides Pittas: Yes, we think that our current leverage which is around what Tasios, 65%, 60% to 65%.
Anastasios Aslidis : Yes 65% on market values, yes.
Aristides Pittas: Which is about 65% of market values is a number which is I would say on the high side. I think we will be able to reduce that leverage to something between 50% and 60% that is our longer term target.
Tate Sullivan : Great. Thank you for that. Have a good rest of the day. 
Aristides Pittas: Thank you. 
Anastasios Aslidis : Thank you, Tate.
Operator: Thank you and our next question comes from Poe Fratt from Noble Capital Markets. 
Aristides Pittas: Hi, Poe. Hello?
Poe Fratt: I apologize. I was on mute. Good morning, Poe Fratt from Noble Capital Markets. I had a quick question on just you mentioned in the press release, you had unexpected spare parts maintenance costs in the third quarter relative to third quarter of 2018. Can you quantify that? Is that material or is that just something that -- it's just unexpected, but it wasn't a meaningful amount?
Anastasios Aslidis : I think it was not in a material amount. I think the reference was made to the higher OpEx that we might get because of the expansion of the fleet and some additional drydockings that we had compared to the previous period. 
Poe Fratt: And the cost of the drydocking for the fourth quarter, can you quantify that Tasios?
Anastasios Aslidis : For the fourth quarter, the main drydock costs, would be the costs of the drydock of Akinada Bridge. The vessel that ends the drydock in Q3 and is expected to exit by the end of the month. I expect the additional drydock that you will see will be close to between $1.5 million and $1.8 million and we are also on the vessel installing a water ballast treatment plant that expense is capitalized.
Poe Fratt: Okay, great. And then Tasios, can you give a little more detail on the $32 million bank debt that you -- that helps you finance the synergy acquisition. I'm looking at the balloon that's due in 2023. I look at annual amortization is that -- I'm calculating roughly $3.65 million per year on that loan. And…
Anastasios Aslidis : Yes, the difference of the dark green from the dark blue bars is exactly the amortization of the $32 million loan. I think for the first year is about $5 million, the difference. And then I think it's about $3.5 million going forward the amortization of the new loan along with a balloon of $17.4 million in 2023. You can see this on slide -- page 18.
Poe Fratt: Yes, I was just looking for sort of -- so it's not straight line amortization. It's actually which you said $5 million over the first…
Anastasios Aslidis : You're correct the first three quarters, the three payments are a bit higher than the remaining payments. So it's almost straight-line, but the first year is a little more. 
Poe Fratt: Okay, great. And then, Aristides, could you talk about the additional consolidation opportunities that you see out there. And maybe start with now that you have 2019 sort of what your market share how you sort of look at consolidation is it market share basis the total -- it's capacity or just number units and just sort of help us shape sort of what we should expect going forward?
Aristides Pittas: Well, Poe, there is nothing that we are actually working on right now. So there is nothing imminent. But obviously the intention is to continue with the same zeal to try to find the opportunities to make this company an even bigger company. I am very well cognizant that in shipping after you have a certain size, you don't have fantastic economies of scale if you grow bigger. So you have to grow bigger, only when it makes sense and the assets are worth buying and will help grow the company. So I've never been a fan of the consolidation for the sake of consolidation. We will try and find more partners. Because for a listed entity, it makes sense to be bigger and that's where you see the biggest gains that you can make. So we will try to do that, but we will try and do that in the same way as we did these two current investments, which are buying by getting ships in and offering the owners shares in the company at the right price, which is close to the NAV and value of the vessels -- of the company.
Poe Fratt: Great. And Tasios looking at just your shares outstanding, it looks like 44.5 million is what we should be using for roughly for 2020. 
Anastasios Aslidis : That's very correct. 
Poe Fratt: Great. So thanks for your help, and congratulations on the recent acquisitions. 
Aristides Pittas: Thank you, Poe.
Operator: Thank you. There are no further questions at this time, I would now like to hand the floor back to Mr. Pittas.
Aristides Pittas: Okay, thank you everybody for participating in this call, which was the last one of the year. We will meet you again in February with our end of year results. Thanks a lot.
Anastasios Aslidis : Thanks, everybody, have a nice day, and Happy Thanksgiving to all.
Operator: Thank you. That does conclude our conference for today. Thanks for participating. You may now disconnect.